Operator: Good morning, ladies and gentlemen, and welcome to the Boralex Second Quarter 2021 Results. [Foreign Language] [Operator Instructions] This call is being recorded on Friday, August 6, 2021. I would now like to turn the conference over to Mr. Stephane Milot. Please go ahead.
Stephane Milot: Well, thank you, Operator. And good morning everyone. So welcome to Boralex second quarter results conference call. Joining me today at the office here with Patrick Decostre and we also have Bruno Guilmette, our Vice President and Chief Financial Officer. And other members of our management and finance team on the line. So Mr. Decostre, will begin with comments about the highlights of the quarter afterwards Mr. Guilmette will carry on with financial highlights, and then we'll be available to answer your questions. So as you know, during this call, we will be discussing historical as well as forward looking information. When talking about the future, they are a variety of risk factors that have been listed in our different filings with securities, regulators, which can materially change our estimated results. These documents are all available for consultation at sedar.com and our webcast presentation document the disclosed results are presented both under IFRS and on a combined basis. Unless otherwise stated, all comments made in this presentation will refer to combined basis figures. So the press release, the MD&A, the consolidated financial statement and a copy of today's presentations are all posted on the Boralex website at boralex.com under the Investor Section. So if you wish to receive a copy of these documents, please contact me directly, it will be a pleasure to send the information to you. So Mr. Decostre will now start with his comments and please go ahead, Patrick.
Patrick Decostre: Thank you, Stephane. Good morning, everyone. I am very pleased to present you today, physically from our office in Downtown Montreal, our second quarter results. Production in the quarter, significantly increase compared to the same quarter last year, with the growth being attributable to acquisitions and commissioning, production however was lower than anticipated production, mainly due to unfavorable conditions in the hydro sector. EBITDA for the quarter was 10% higher than the same quarter last year. The growth came from $24 million contribution from the acquisition of participation of CDPQ in three wind farms in Quebec. The acquisition of participation in seven solar farms in the U.S. and the commissioning of assets. The highlight of the quarter is the addition of 553 megawatts of solar and wind project and 190 megawatts of storage project to our pipeline. Seven project totaling 137 megawatt also progressed within our growth path somewhere added to the secure stage, and others move to the ready to build stage. One last point, as you all know, in June, we launched our 2025 strategic plan, including new corporate objectives, we got very positive feedback from all our stakeholders. We are very proud of the outcome of this plan. And I can assure you that all teams are working hard to achieve our goals in a timely and disciplined manner. I will now cover changes in our pipeline. As you can see, on Slide 5 of our presentation, we added 510 megawatts of U.S. solar project in our preliminary phase. Simultaneously, we also add some smaller wind and solar project in France and the solar project in France progressed to the mid-stage phase. Other wind and solar project in France also progressed from mid-stage to advanced stage and from advanced stage to our growth path. We added four projects to the secured stage of our growth path for a total of 41 megawatt. Please note that one of these projects is a repowering, which is not adding capacity, but the wind farm will benefit from a high performance equipment and a new 20-year contract. Finally, three project were added to the ready to build stage for total of 96 megawatt. As you can see on Slide 7, with all these movements in our pipeline in growth path, we are making very good progress toward our objective of doubling our capacity by 2025. Moving now to our strategic orientations on Slide 8, I will not cover growth and diversification as I covered most of it already. But I would like to highlight that we're still seeing important demand for corporate PPA. As mentioned at our Investor Day, with the approaching end of contract that started 15 years ago in France, additional corporate PPAs and repowering projects are expected in the future. These represent valuable projects providing interesting returns for a fraction of the time required to execute compared to our traditional greenfield projects in France. We are making good progress on the optimization orientation too. We signed a new contract with Vestas in France, which is expected to provide competitive operating costs, combined with production improvement incentives, in line with our optimization strategy. We also continue to optimize maintenance in North America and became 100% renewable with the sale of our Blendecques facility. This completes my part, I will let – I will now let Bruno cover the financial portion in more detail. And we'll be back later for the question period.
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. First, a little bit out of topic let me recognize and congratulate all the athletes that are currently competing at the Olympics. They're the best in the world. And we certainly share values of great discipline, hard work and teamwork with these athletes. A special congratulations to our Canadian women's soccer team, for their gold medal that they won just a few minutes ago. Now back to our main topic, I will start with a review of the progress made in light of our new 2025 corporate objectives. We've recently increased our capacity by 26 megawatts following the commissioning of our Bazougeais wind farm on May 1 and Extension Plaine d'Escrebieux wind farm on August 1. These capacity additions were partially offset by the disposal of the Blendecques cogeneration plant, resulting in a net capacity addition of 14 megawatts. I would also like to take this opportunity to mention that our 4.4 gigawatt target in 2025 represents capacity as we have been defining it in our financial reportings for a few years now. This means 100% of capacity, if we control the assets and our share of it, if we don't have control. Moving to our last 12 months, EBITDA, and AFFO you can see on Slide 10, that we continue to make progress on these two measures, thanks to our acquisitions, and commissioning of new assets. Our reinvestment ratio stands at 55%, in-line with our 50% to 70% target. Moving on to CSR, most of the achievements mentioned on Slide 11, were covered at our Investor Day. I would, however, like to highlight that we are making good progress with the production of our carbon footprint reports. With the addition of a CSR expert to our team, and the creation of a formal CSR committee, we are moving ahead with a lot of rigor on our different ESG initiatives. We will have more to report on this front in the coming quarters. I will now cover the financial results for the quarter starting with production. Wind production on a combined basis in Canada was in line with our anticipated production and 5% higher than in the same quarter last year, driven by the acquisition of the Quebec assets. Comparable production was lower than last year reflecting less favorable wind conditions than in the second quarter last year. In France, wind production was 2% lower than anticipated and 23% higher than the same quarter last year, with growth coming from higher comparable production and new commissioning. Overall total combined wind production for the quarter, combining Canada and France was only 1% lower than the anticipated production and 12% higher than last year. Turning to Hydro now, it was a difficult quarter for both Canada and the U.S. Hydro. Hydro conditions were unfavorable during the quarter resulting in production 24% lower than anticipated and 13% lower than in the same quarter last year. Finally, for Solar, our U.S. acquisition continued to perform well, with production 4% above anticipated production. In summary, total combined production for the quarter was only 4% lower than anticipated, but 22% higher than last year. Second quarter revenues were up 9% compared to last year. For the second quarter of 2021 combined EBITDA was $117 million, compared to $107 million for the same quarter of 2020. That's 10% increase. Net loss was $9 million in the second quarter compared to a net loss of $5 million in last year. We generated $66 million of IFRS cash flows from operations in the second quarter compared to $51 million in the same quarter last year. AFFO was a negative $7 million compared to a negative $14 million in second quarter last year, reflecting the improvement in cash flow from operations, and also the seasonality of our operations. As indicated on Slide 19, our financial position remains solid, with our net debt to total market capital ratio of 40%, 46% on June 30, compared to 41% on December 31, 2020. In conclusion, we received strong positive response from our stakeholders to our 2025 strategic plan. We continue to make good progress toward the execution of our four strategic orientations. And six corporate objectives with our team fully mobilized, putting the final touches to our bid in the upcoming Tier 1 RFP in New York, due at the end of this month. And we have a solid financial position to pursue our growth initiatives. And finally, we're working on the optimization of our capital structure to further improve our financial flexibility and lower our costs. Thank you for your attention. We are now ready to take your questions.
Operator: Thank you, ladies and gentlemen, we now begin the question-and-answer session. [Operator Instructions] The first question comes from David Quezada with Raymond James. Please go ahead.
David Quezada: Thanks, good morning, everyone. My first question here, just on the 190 megawatts of storage you added to the early stage pipeline, appreciate that. It's, an early development category. But just wondering if there's any color you could provide, be it in terms of timeline you expect for those projects, and maybe even the number and the size of them, we start with that?
Patrick Decostre: Yes, David, good morning. It's Patrick, we – part of this project, 100 megawatt is in California where we apply to optimization finally of the asset. We just bought and closed in February. We announced that earlier but now, it's done. We have applied that the Californian process for grid connection is long. So probably something like 18 months, 24 months, do you have a right, a good answer to it? The other projects are in the New York State and will be in our pipeline to be either bid or add to some production projects. So less view on this in terms of the time.
David Quezada: Okay. Thank you for that. And then maybe just a question regarding France. I understand that there was not a huge number of megawatts but there's an alternative connection offer that has been announced with – which I guess has faster central interconnection. I'm curious if you have any projects that could benefit from that.
Patrick Decostre: David, could you be more specific on what you're referring to just want to make sure we understand exactly what?
David Quezada: Yes, I saw a news report of a 750 megawatts of alternative connection offer in France that had been announced, I think in the past couple weeks.
Patrick Decostre: To be – I'm not aware of this specific point. What I can tell you is possibly my team is – certainly my team is aware in France, we are – we have a different strategy of securing the interconnection depending on where you are on distribution network or on the transport. The large transmission grid sorry, I was searching the word. But I don't know this question, we have constant conversation with the grid operator to improve the things and I'm sure that my team is aware of that.
David Quezada: Okay, great. Appreciate the color, I'll get back in the queue. Thank you.
Operator: Your next question comes from Nelson Ng with RBC. Please go ahead.
Nelson Ng: Great, thanks. Good morning, everyone. Just a quick clarification on the storage question from David. So are you proposing to add storage on your existing assets? Or are these new sites with just storage? Or you also grew your solar pipeline by, I think, slightly over 500 megawatts. So like, is your storage going to be standalone? Or is it going to be attached to new solar plus storage projects? Or are you looking to add them to existing assets?
Patrick Decostre: Yeah, good question Nelson. Good morning. In California, it's really on the site, within the fence of the solar plants, existing solar plants, and with an existing grid connection. So you have to change the grid connection agreement to put storage on top of the solar existing assets. In New York, the other project, as I mentioned, are in New York. In New York, you can have – you don't have the limitation to be on the same site with the same grid connection. This is already something, which is available in the nicer framework for the next tender. So it's not a question. Virtually, you will be combined, but you will not be – you don't have to be on the same site. And I understand your question is about the development. These developments are in the U.S., and we are ready, as Bruno mentioned, to bid. And I will obviously not declare and go into details about what we will bid at the end of the month, but we are ready to bid a significant amount of projected power.
Nelson Ng: Okay, thanks, Patrick, your MD&A indicates that you have like 840 megawatts that you could bid. So I presume you’ll bid a subset of that later this month.
Patrick Decostre: Yes, we have. Yes, there is always a strategy behind this and more than strategies and tactics. So yes, there will be we are confident that there will be you know, this round and other rounds afterwards. So we will manage that and decide in the next days.
Bruno Guilmette: Yes, just to add onto that, is it doesn't necessarily mean that because we have 840 megawatts ready to bid that we will all bid them in the next auction. At the end of the day, we want to have the best return on these projects. So as Patrick mentioned, it's a question of strategy, knowing that there are other bids coming and the approach is different, same as it is in France.
Nelson Ng: Okay. That's clear. And then just one last question on energy storage. Does it make economic sense right now to add batteries to any of your solar sites in the U.S.? Or do you need to wait for a process?
Patrick Decostre: It's a good question. It depends on the contract that we have and the off taker. Some are interests to have a shift of the production within the day. And this is already somewhere in the contract. And some are not. So the question is – the answer, sorry, to your question is a mix depending on the site, and there is already some opportunity to, if the grid connection are obtained, the commercial part would be probably something not so difficult.
Nelson Ng: Okay, so, if I'm trying to read between the lines, maybe in California, it would make economic sense to add batteries?
Patrick Decostre: Yes.
Nelson Ng: Okay. Good. And then my last question, before I get back in the queue, is Agricopix. So I think a few months ago, there was an announcement that you guys have this arrangement with Seigneurie. And just from looking at some of the pictures, it looks like these are like solar projects on stilts that are more kind of spaced out and they sit above crops. Are any of those – like are you – are there any near-term projects that you're working on for like on the Agricopix side right now?
Patrick Decostre: In the near term, I think this partnership help us to have a solution in some constrained area, typically in France for the moment, on the agricultural part because it's – the country is smaller than the big countries of North America. And then it's a part of the solution that we can bring to municipalities or farmers. But it's not a big game changer for Boralex. It's important, I think, in sustainability of development of solar in France.
Nelson Ng: Okay, so it might just make more land available for you to develop solar in France. Is that fair to say?
Patrick Decostre: Yes, yes, yes. And nothing specifically in the short term, but it's important to have this solution in our in our proposal.
Nelson Ng: Okay, that's great. Thanks I'll get back in the queue.
Patrick Decostre: Thank you.
Operator: Thank you. Your next question comes from John Mould with TD Securities. Please go ahead.
John Mould: Good morning, everybody. I just like to start with the permitting process in France, I know there was some movement to allow municipalities to potentially veto the location of wind turbines. But my understanding is that ended up getting changed simply to requiring consultation. And I'm just wondering what the state of how you're thinking about the state of the permitting process more broadly in France and whether this consultation requirement has any potential to slow down permitting of projects there.
Patrick Decostre: Good morning, essentially my view with the 18 years of experience of development in France, it's we have had many things like this in the past, like newer adults, and then simplification and then another one. So we are used, and our team there is used to make this we are already obviously not starting when the project enter the preliminary stage in our pipeline in Boralex. It's already because we have first not formal, but sometime formal, but a first agreement of the municipalities where we are developing. So, I think it's not a big issue, but it could depend off the way it will be implemented. And as I mentioned, 10 years ago, there was something like this, we went through it, and then they modified the thing. So it's classical development in France. I think it's important, globally for France as a social acceptability of the project. And that's, that's not bad, but we are used to play with this kind of conditions.
John Mould: Okay, well, that makes sense. And then maybe just moving to Quebec and the planned RFPs there appreciating, you don't want to get into details just like the New York process. But can you even just give us a sense of scale of the projects you might be able to submit or that you're working to advance there and maybe a sense of how much capacity it could be remaining on the Seigneurie de Beaupre lands there.
Patrick Decostre: I think I think I will for Seigneurie de Beaupre I will refer to previous disclosure of the Boralex. There is – there is room for development in terms of connection there. There is, if you go back some years ago, we I think we announced another potential gigawatt on this site, which is in terms of connection in between the size of the turbine is increases, so the number of turbines has decreased for the same power. So, it's definitely a good site for development. On the RFP, we have started more than one year ago to negotiate the output project with the government. So we were informed of and have the vision that this door of new RFP will open again. So we are prepared and in our side are prepared, but I don't want to give the figures today, but we are we are happy with it. And we are prepared to bid when it will come.
John Mould: Okay, great. I'll leave it there. Thanks very much for taking my questions.
Patrick Decostre: Thank you.
Bruno Guilmette: Thank you.
Operator: Thank you. Your next question comes from Mark Jarvi with CIBC? Please go ahead.
Mark Jarvi: Thanks everyone. Question on France, in terms of you added some more projects that identified growth path, how many more megawatts or projects exist from that were successful in prior RFP but don't have full permits and that could get onto the identified growth path? Just wondering how many more of these projects that might be in the queue to get into the identified growth path in France.
Stephane Milot: Could you Mark, just repeat your question. We kind of missed a part of it.
Mark Jarvi: Yes. So sometimes you won contracts through RFP, but they don't immediately show up in the identified growth because you need to get either Board approval based on some permitting. So I'm just wondering how many projects that were successful in prior RFPs still aren't in your identified growth path, just wondering what we could see in the coming quarters from projects with sort of, I guess, price certainty, but not full authorization to move ahead of the projects.
Stephane Milot: Okay, so you mean projects that would be – just to make sure that we get it right, that would be like in an advanced stage? So not exactly ready to go into the growth pattern and the secure stage but having a contract?
Patrick Decostre: Yes. Exactly.
Mark Jarvi: Is that what you intend.
Patrick Decostre: Yes, I think we have actually, but we will, Stephane will come back with the exact figures, but I think we have two project at least, which have been which have obtained a contract. And are still in advanced stage because of the development stage of the authorization itself. Seeing from today, we will not be able to connect before 2025. So that's also another point, when we put the project in secured stages, because we think we will be able to connect it before 2020, end of 2025. So that's the thinking.
Mark Jarvi: Got it.
Patrick Decostre: And the important point – the important point is this project. There are some periods of development typically when you have because this is the case of the two project I mentioned. It's a project on which there is a third party recourse, but we think we will win. There is no reason we get the authorization from the state and the third party challenged the project. The period of the challenge before the course – before the court are frozen. So, there is no question of a cliff date to lose the contract we will we have already obtained and for the next tender in France, I mentioned it was the – the last tender was the eighth round. There will be other rounds the definition, the conditions of the rounds are under discussion for the moment but they will continue to have the 1.85 gigawatt per year of tender. And we will have some project to bid in the next the next tenders. And we are also playing project between tenders, RFP and CR2017 at EUR72 megawatt hour, which is still available for a project of a power up to 18 megawatts.
Mark Jarvi: Okay. And then Bruno for you. I mean, you hinted at this optimization of capital structure, is that something that you can give us a bit more detail in terms of what's underway or if you can give us some detail like, when should we be expecting sort of an update in terms of what you're trying to do on the financing side of things?
Bruno Guilmette: We certainly expect to be able to give an update before the end of the year, not that it will be final, but we certainly we expect to be on their way in our analysis of our ability to get an investment grade rating during the fall. So that's, as I think we explained before, you're not searching until you actually go to the credit agencies. So since we've never felt the need in recent past, we have to go through a process before we can give you an answer, but that process will start churning during the fall, at least internally.
Mark Jarvi: Is there anything about any of your existing credit agreements or project level debt or non recourse debt that makes that more challenging to accomplish? Or did it seem like so far things are progressing as expected?
Patrick Decostre: There's no, it's more of a process and analysis, again, with credit agencies, which we have not to be clear contacted yet. So it's more of a process than us seeing challenges.
Mark Jarvi: Got it? And then a question for Patrick and around the upcoming RFP for solar projects in New York. Last year, I mean you always take sort of a disciplined approach and didn't want to bid on entering around ITC extension. Now we're seeing a lot of chatter and discussion around inflation and transients or longer term pressures on module costs for solar. So when you have enough visibility on costs, and some sort of like indicative pricing that you can bid with conviction, or where does that kind of play into your thinking in terms of your ability to be aggressive with other competitors being more aggressive than you this fall in the ERPs your face?
Patrick Decostre: Yes. It's a good question. But the – I think there is an important difference between the two situation because last year it was like on/off the ITC. But we, today, we are more used to manage inflation or in the past, it was a kind of deflation reduction of the cost of the turbine. And we have been in some RFP with the view of a potential reduction of the cost of the turbine. And it was it was everybody were doing that. So I think it's a risk that we know better than the one last year and on top of this, I think there is also different potential optimization of the development of – during the development of the project themselves after having obtained the contract that can that can compensate if we have to compensate inflation. With the ITC question, it was a binary situation. So it was not possible to compensate ITC with project optimizations.
Mark Jarvi: Okay. That makes sense. That's all I had. Thank you.
Operator: Thank you. Your next question comes from Naji Baydoun with IA Capital, please go ahead.
Naji Baydoun: Good morning. Just wanted to follow-up on Mike's question about financial priorities, I appreciate the corporate credit rating processes is going to get underway but any other significant progress you can report on, maybe related to minority stake sales or other priorities?
Patrick Decostre: We're always looking at our portfolio, just to see if there's, there's other refinancings we can look at. Also, in terms of partnerships, or asset sales, you've seen that we sold the Blendecques facility in France, and we'll continue to look at assets to see whether they're a fit with our long term view, strategically, that's for selling all assets. And then in terms of financial partnerships, it is a key element, as we've mentioned it a few times. So for us, it's really to find the right approach to be with, to create these partnerships, and the right approach the right pool of assets. In which region and have discussions with financial partners. So that is certainly one of the key elements that we look forward to develop more.
Naji Baydoun: Okay, got it. And just maybe, on New York, I know the focus is on Tier 1 programs, but can you maybe talk about how are you thinking, but maybe participating in some of the other or the different tiers of for clean energy procurement in the state?
Patrick Decostre: Yes, I think this creates opportunity. We hope Hydro-Quebec typically will be one of the awarded the candidate for Tier 4, because it has an indirect impact on the demand in Quebec and the electricity available here. So, I think it's my personal view, it's could be a good thing for New York State, New York City and Quebec in Canada. So, hopefully with an indirect impact on Boralex, or for development of wind here.
Naji Baydoun: Okay, okay. Great. And just want maybe one last question on asset optimization. So you're in housing some in Canada, but you've done the 15 year contract investment in France. I guess, one, can you quantify maybe what the potential savings from these initiatives could be? And then maybe just how are you thinking about the trade-offs or between, what you're in Canada and the what you're doing in France, and how that fits within your strategy.
Bruno Guilmette: The key element with the Vestas contract is the competitive aspect of that offer, which we haven't seen before, from a manufacturer O&M contract. So they really, they came to us Vestas came to us with, again, pricing that was much more competitive than previously. And, in general, the key element to that contract is a guaranteed availability with – by Vestas, so they take the risk. And they also have an incentive to exceed this minimum availability threshold. I unfortunately, cannot give you the precise number of guaranteed availability, but I can tell you, it's advantageous for us. And that's the key element. So it's hard to give precise numbers, we expect that certainly, because otherwise, we would not have to find this kind of agreement. And we expect added value from this contract. And it also allows us to deploy our workforce on other O&M work on other types of assets. So again, it's over the life of the contract, we get, get a very positive number, but we just want to don't want to disclose on a year-by-year basis, because really depends on the availability difference that we're going to get.
Patrick Decostre: And maybe, I could add it's good to have to as Bruno mentioned, to manage our risk and to have a part which is in-sourced and a part which is outsourced. And it depends of the competitive situation of suppliers in the area. Typically, today, in Quebec, there is no competition except Boralex itself to perform maintenance on Enercon turbines. It's not the situation in France. People like Vestas or GE or Siemens Gamesa are proposing us multi-turbines, multi-brand maintenance and competition is completely different. But it was not the case five years ago, and it was even not the case 10 years ago, so we did the right thing to insource during a certain period, and create the skills internally to be able to challenge the manufacturer. And when Vestas came with this offer, we look at it we say, okay, we are agnostic to have it in, in or out, but we're not agnostic to the risk and the reward and the contract is interesting. As Bruno mentioned, we will be able to concentrate our team, where we think we can create more value, and we have transfer risk to Vestas in this case for a long period, which is also a good in term of, of planning.
Naji Baydoun: Understood, that's a good detail. Thank you.
Operator: Your next question comes from Andrew Kuske with Credit Suisse. Please go ahead.
Andrew Kuske: Thank you. Good morning. I think the question is for Patrick. And it really revolves around carbon pricing, and just the potential impacts you see from carbon pricing. And I guess the gist of the question is, how much benefit do you'll see in the future from carbon prices escalating in most jurisdictions, and so the state of play in Canada is fairly clear. But how do you think about the U.S. opportunity as it relates to carbon pricing, which is uncertain at this point? And then things like the cross border taxes that are being proposed in Europe?
Patrick Decostre: Yes, it's a good question. We have my view, specifically, I will start with Europe, continental Europe and UK, it really creates an opportunity because you have seen the commitment of the proposal actually from the European Commission about the Fit for 55. This is the goal to reduce by 55% the emission in Europe compared to 1990. So this is – it was 40% now it is 55%. So this put pressure on the carbon pricing. And this has an impact on the electricity costs for when you're producing with gas and even more with coal, there's still some coal. So, the fact is that this create – this is an opportunity for us for different reason, the short term, it increased the price of the corporate PPA, and because the alternative for the corporation to buy electricity on the market has other higher price instead of buying green electricity from Boralex. So this is this short term impact. The long term impact is to creates also some opportunity and we are under discussion with some cooperation, where it could be of interest to build a project with a counterpart, which is not typically in France, EDF, but which is a solid cooperation that also sometimes it's a good opportunity, instead of going to an RFP, with a lot of competition in solar, typically in France. So I think that's good. That's also good. For in the UK, you have seen the price of I think it's more than GBP45 per tonne. This is also a good sign for our project in Scotland, to find a cooperate PPA when the project will be reoptimized. I think we mentioned that previously that we are optimizing the Limekiln project. In the U.S., clearly I have no view. But I think this same cause will create the same effect. It's the main question, with my experience. I'm following the European ETS market since 2005. It's the main question is – the policy should be maintained on the long term, otherwise, you have volatility and you cannot do something on the long-term. I think with the general trend of the fighting against climate change and event of the last, the last months in North America and Europe will hopefully put long term policy on carbon pricing too. That's my view.
Andrew Kuske: That's very helpful color and then maybe just on the corporate PPAs and a bit of flavor around that. Are you having conversations with a greater number of corporate, or is it really the current roster of corporate clients that you have, but they want more power and they want larger PPAs and larger engagements with you?
Patrick Decostre: Yes, today the demand and I said that three months ago before the increase of the price of the gas and the carbon, the demand was already higher than the offer some months ago. So, the trend is there and we were discussing with different corporation. And we have made a segmentation of the potential customers, because the price of electricity they have, the fact that they are or not in connection with the end customers, the fact that they have or not in a real ESG plan. So all this make a difference when you're speaking about the customer, and so we're discussing that and I think I am quite optimistic about the fact that we will be able to build project with another counterpart in the future with the corporate PPA.
Andrew Kuske: That's very helpful. Thank you
Patrick Decostre: Thank you.
Operator: Your next question comes from Justin Strong with Scotiabank. Please go ahead.
Justin Strong: Thanks. Hi, guys. Just a quick question on tax equity and proposals in U.S. infrastructure bills, specifically around the portions that relate to direct payments and expanding eligibility to storage projects. Just wanted to get your outlook as to whether these if you think it's going to make it into law, and what the implications would do for Boralex and your development plan.
Bruno Guilmette: I'll just make one comment and Patrick can also add, certainly to that. I mean, certainly, it's hard to know, especially at this moment to see all the progress will be made on whether we'll make it into law or not. There's also other types of discussions on the tax equity side, which could result on other types of positive developments, such as tax credits, direct tax credits, as opposed to going to or needing a partner. So, I think there's quite a few evolutions, but timing and certainty. From our position is very hard to call.
Patrick Decostre: Yeah, but I think it's wise Bruno to say it like this. It's globally. It's interesting for us today, if there is direct payment, because we don't have a big tax exposure in the U.S.. But we need to have confirmation and see how it works in the model, really in the five.
Justin Strong: Great, thanks for that.
Operator: Thank you. Your next question comes from Vivek Panjabi with National Bank, please go ahead.
Vivek Panjabi: Hi, this is Vivek on behalf of Rupert. Could you comment on inflation? Could you comment on inflation and power prices and any benefits, you may be seeing from higher power prices?
Patrick Decostre: Yes, sure. There are, there are two things The first is on the existing assets. It depends on the contract, but we have the inflation close, which range from 10% in some solar plant in France to 60%, which I cannot give you exactly, the weighted average, inflation close. But this is in the range and globally, it protects us from increase of the cost. And in sometimes it could be positive, because the costs are the percentage of the revenue is smaller than the percentage which is inflated. So that's good news. And in this inflation, just to be clear, is not on power price. It's the power pricing for the contract, which is inflated on some external index like API or sometimes some say in English some service and goods specific service and goods basket. On new project, as I mentioned on speaking about corporate PPAs the inflation on power price is a good sign. It's a good sign for corporate PPAs. And it's a good sign also, because the subsidies that is seen on an existing project or new project through RFPs is seeing a smaller or sometimes negative, if you when you sign today, a wind project that’s EUR60 in France and when the price is around EUR92 to even in EUR100, sometimes during the day, EUR60 during the night, then the subsidies is going from you to the state and not from the state to you. So that's also good news in term of public finance and the view of the our sector from the authorities.
Vivek Panjabi: Sure. Thank you for that color. Just one more question. With the Moulins du Lohan projects in France moving to construction. Just wanted to know is there any pushback or challenge to the project we could see given the previous attempt at construction
Bruno Guilmette: Were you referring to Moulins du Lohan project
Vivek Panjabi: You referred to Moulins du Lohan …
Bruno Guilmette: I think we lost a part of the question. Could you just repeat the question, please?
Vivek Panjabi: Sure. No problem. Just wanted to know, with the project moving to construction stage, is there any pushback or challenge you could see to the project? Given the last time around, there were some challenges?
Patrick Decostre: No, I think it's, every project in France is somewhere sensitive. This is a project which is in the forest. That is in operation, it's not a protected forest. But I don't see any more problem than generally we have, we can have in project and we will obviously take care of the relation with the community locally, we have very good, even if this project was long to develop, we have long, good relation with the municipality. And there was only nine people who are – who were opposing the project was held by an association defending landscape, which is based in Paris, so it's not, it's not a local opposition. But we as in every project, we are doing, we will continue to communicate with the municipality, with the mayors and with the people to be sure that this goes the right way.
Vivek Panjabi: Sure, thank you so much. I'll leave it there.
Operator: Thank you. There are no further questions at this time, Mr. Milot, you may proceed.
Stephane Milot: Thank you, Operator. Thank you, everyone, for your attention. If you have any additional questions, you know how to reach me. So 514-213-1045. You can call me, you can text me, you can email me. I'll make sure, I answer your question quickly. So our next conference call to announce third quarter results will be on Friday, November 12. And I hope you all remain healthy. Have a great day and great vacations for those like many of us who have not taken vacation yet, and who are heading towards vacations. Thanks a lot. Have a good day.
Patrick Decostre: Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you participating and ask that you please disconnect your lines.